Operator: Good morning. My name is Kanise, and I will be your conference operator today. At this time, I would like to welcome everyone to the Spectrum Brands Fiscal 2014 Second Quarter Earnings Conference Call. (Operator Instructions).As a reminder, ladies and gentlemen, this conference is being recorded today, Wednesday, May 7, 2014. Thank you. I would now like to introduce Mr. David Prichard, Vice President of Investor Relations for Spectrum Brands. Mr. Prichard, you may begin your conference.
David Prichard : Yes, good morning, and welcome to Spectrum Brands Holdings fiscal 2014 second quarter earnings conference call and webcast. I'm Dave Prichard, Vice President of Investor Relations for Spectrum Brands, and I'll be your moderator for today's call. Now to help you follow along with our comments this morning, we have placed a slide presentation on the Event Calendar page in the Investor Relations section of our website, which is www.spectrumbrands.com. This document will remain there following the call. If we turn now to Slide 2 of the presentation, our call this morning will be led again by Dave Lumley, our Chief Executive Officer; and Andreas Rouve, Chief Operating Officer and President International; and Tony Genito, our Chief Financial Officer. Dave, Andreas and Tony will deliver opening remarks and then conduct the Q&A session. Let's turn now to Slide 3 and 4, to tell that our comments today include forward-looking statements, including our outlook for fiscal 2014 and beyond. These statements are based upon management's current expectations, projections and assumptions and are by nature uncertain. Actual results may differ materially. Therefore due to that risk, Spectrum Brands encourages you to review the risk factors and the cautionary statements outlined in our press release dated May 7, 2014 and our most recent SEC filings and Spectrum Brands' most recent 10-K. We assume no obligation to update any forward-looking statement. Also, please note we will discuss certain non-GAAP financial measures in the call. Reconciliations on a GAAP basis for these measures are included in this morning's press release and 8-K filing, which are both available on our website in the Investor Relations section. Now for the second quarter of fiscal 2014, Spectrum Brand swung to net income of $33.8 million or $0.64 diluted income per share on average share and common stock equivalents outstanding of $53 million. This compared to a net loss of $41.2 million or $0.79 diluted loss per share on average shares and common stock equivalents outstanding of $52.1 million last year. By segment for the second quarter of fiscal 2014, the global batteries and appliances segment reported net income as adjusted of $35.7 million versus $34.6 million a year ago. The global pets supplies segment reported net income as adjusted of $19.4 million versus $16.4 million in fiscal 2013. The home and garden segment reported net income as adjusted of $22.8 million compared to $20.6 million last year and finally the hardware and home improvement segment reported net income as adjusted of $31.9 million versus $600,000 a year ago. So with that background I am pleased to turn the call over now to our Chief Executive Officer, Dave Lumley. 
Dave Lumley : Thanks, Dave. And thank you all for joining us this morning. Let's turn to Slide 6. We are really please to report our record second quarter. Our seasonally small and most challenging quarter of the year. Combined with our record first quarter we had good first half momentum towards delivering a fifth consecutive year of record performance. The second quarter had many highlights. All divisions contributed. Firstly, all our businesses achieved higher sales and adjusted EBITDA versus last year. Our battery, HHI, personal care and home and garden businesses have especially good results. Internationally, and particularly Europe again was the bright spot. As Andreas will soon discuss. On the cost side, we achieved an all time high fiscal second quarter level of continuous improvement sale, they will be on a similar first quarter record. In short, our Spectrum value model continues to work effectively and continuous to resonate with retailers and consumers in a global economy that remains challenging. Our same or better performance for fewer prices, performance oriented, and value brand Spectrum Brand products are winning today's market place and with today's smart shoppers. Let's move to Slide 7. Spectrum sales increased 3.4% and 4% excluding negative impact to foreign exchange which was primarily in Latin America. This follows similar 3.6% sales increase in the first quarter. We overcame unusually harsh and prolonged winter weather in January and part of February in the U.S. and Canada that hurt retail store traffic and their POS. Most significantly in our case in our HHI and pet businesses. Our adjusted EPS of $0.72 grew strong 64%. Adjusted EBITDA increased 9% nearly three times set of our sales growth. Excluding negative FX impact adjusted EBITDA increased 10%. This is our fourteen consecutive quarter of year-over-year adjusted EBITDA growth. We are pleased to get our adjusted EBITDA margin increased, this time almost 100 basis points to 15.3% versus 14.5% last year. With this our first half behind us, we are optimistic about our second half which should be a larger than our record first six months. We also expect both June and September quarters to show growth year-over-year. We have new products launching in all division on a global base. We have retail distribution gains secured. We have new retail customers in place and continued geographic expansion in Europe, Latin America and Asia. And we have been successful with select pricing action. The same time we will maintain strict spending controls and we are tracking to another record level of cost reductions. Let's now turn to Slide 8. Our focus is to grow adjusted EBITDA and maximize a sustainable free cash flow. We have been telling that for a long time, we will continue to that. Free cash flow is expected to reach at least $350 million or nearly $7 per share in fiscal 2014, this is versus $254 million or nearly $5 per share last year. And $208 million or $4 per share in fiscal 2012. De-leveraging and strengthening our balance sheet remains a top priority. We plan to reduce term debt by about $250 million in the year at about 4.2 times or less. So long term our objective remains to maintain a total leverage ratio of 2.5 times to 3.5 times. Let's now turn to our individual businesses and let's begin with home and garden which is your slide 9. Home and garden has reported record results so far this year. Sales and EBITDA grew 12% and 11% respectively to record Q2 level. This primarily from higher sales and lawn and garden controls category from strong early season retail customer, new distribution and demand, that's an important point, both of those as why we did well. We also have a positive impact from our accretive Liquid Fence acquisition. And continuing cost improvement and operating expense management. Retailers have been and remain optimistic about this season, so actually with our promotional programs in place, always is encouraging for a solid June quarter were our highest margin business. Home and garden is driving for another record year. The business is assuming a somewhat more normal quarterly weather pattern than the reverse we saw at fiscal 2013. If you remember when the third quarter was much lower and the fourth quarter was much stronger than normal. Integration activity is also had a schedule for Liquid Fence. The U.S. leader in consumer animal repellents market. 0:02:42.3, f2. Liquid Fence volumes and EBITDA are tracking to our expectations. Let's now turn to revenues, our personal care business which is your slide 10. Running this momentum from a good second quarter and first half put the business on the path become very close if not achieve record sales in EBITDA for the year. Second quarter sales increased 2.4% or almost 3% excluding negative FX impacts. This and strong revenue growth in Europe and Latin America which is must like the first quarter. Adjusted EBITDA increased three times during the sales in the second quarter and in the double digit rate from the first half. While North American sales were relatively flat, we expect them to grow in the second half, this largely from increases in shaving and grooming and our hair care categories, from accepted new product launches and distribution gains. Revenues in North America has recently gained share in four of the top six categories in which it competes. We are also launching several new I -LIGHT facial hair remover product soon and we rolling out our new Hyperflex men's shaving groom models. In addition, we are investing further than we have ever in the past to grow our women's hair care position in Europe. Let's now turn to the small appliances division within global appliances which is your slide 11. The business has essential flat sales on a constant currency basis in the second quarter. However, higher European sales were slightly offset by those lower North American sales which were primarily from non-recurrence of low-margin promotions. We are pleased Latin American sales grew strongly on a constant currency basis from several new product launches. In addition, North American adjusted EBITDA improved. We are optimistic about the second half outlook for small appliances especially in North America, the largest geographic component. As we noted before small appliances has the most new products launching now and into fiscal 2015 since the 2010 Russell Hobbs acquisition. This is going to include new New George Foreman grills, new Black and Decker coffee makers, and Toaster ovens including one that you can cook frozen pizza in just five minutes. We have new Irons and many other products. These are secured and will be shipping in the back half and early next year. Our small appliances and personal care businesses, together we call global appliances are also working effectively with our supply base to achieve cost improvement back to date are tracking higher versus a record level last year. We spend a lot of time working with our partners, suppliers to minimize cost increases while continuing to evaluate non-China sourcing options. In short, we believe continuous improvement this year will again more than offset continuing but more moderate Asian appliances supply chain cost increases. Now let's go to global batteries, Slide 12. This business turned in a very strong second quarter. Sales grew 6%, 7% without negative FX impact and adjusted EBITDA increased at a double -digit rate to a record Q2 level. This is with all regions growing in the battery business. In fact, the adjusted EBITDA margin expanded a strong 120 basis point. This follows a record Q1 adjusted EBITDA level. So a combination of a new retail customers, new products, numerous distribution gain, geographic expansion and effective promotions drove this strong performance. Growth in the do-it-yourself channel was most impressive. We are also optimistic about second half battery growth especially in North America and the potential for a record fiscal 2014 in battery. Relatively flat to slightly higher commodity prices persist but we are tracking on a record level of continuous improvement saving in fiscal 2014. Now price competition will likely persist along with some very recent erratic competitor discount and of course we still have tight retail inventory management, usually a result of slower moving premium price products. Still as we stress for quite some time retail POS data continuous to show that performance oriented products like branded value Rayovac and other batteries sold a same or better performance, less price to the winning position in the global market place for battery. Let's now turn to global pet supplies which is your Slide 13. We expect pet to deliver a record year despite a challenging first half. Second quarter sales recovered from first quarter decline. Slightly higher sales in Europe in aquatics and companion animals were offset by total category aquatics category declines in North America, in large part due to a very adverse winter weather that hurts store traffic at all three of the top three pet retailers in North America. Still we are encourage pet grew its adjusted EBITDA 4% in the quarter and posted an 80 basis point margin expansion. Pet's second half will be stronger. It has secured and expanded significant businesses that will shift in the third and the fourth quarters in North America and Europe in both aquatics and companion animals. The launch of U.S. made Dingo Market Cuts in the large U.S. chicken jerky market has been significant and had also expanded its footprint in large U.S. retail market for rawhide with additional product placements in mass, specialty and food and drug stores in the second half. In Latin America, we expect faster companion animal growth by leveraging Spectrum Brands’ sales network in the region, this is first time we have done that. Operationally, we expect pet to achieve a record year of cost savings. So all-in-all good times ahead for pet. Now let's move to our newest acquisition, the hardware and home improvement group for your slide 14. HHI delivered another quarter solid results. Sales grew 4% or 5% on a constant currency basis. Adjusted EBITDA increased 11% or almost 3 times set as the adjusted EBITDA expanded more than 100 basis points. The Spectrum like good sales to EBITDA leverage which exactly the kind of leverage performance pattern for HHI in fiscal 2014 that we have been communicating to you. Now growth in residential security and continued international expansion, along with these cost reductions, drove the second quarter improvement. HHI's results were particularly noteworthy for several reasons. So let's go there. First, it was comparing against an 11% sales increase last year. And second, the severe and prolonged winter weather in North America in the first two months of the quarter did negatively affect store traffic and POS for these type of products, which also good and shifted to an up and down new housing market. Still HHI sales picked up sequentially in March. The business looks to a stronger second half versus the first half and prior year with a seasonally somewhat larger June and September quarters. Among growth areas in the second half are a modest new housing construction uptick, we has a conservative estimate versus the high, much higher market projection for new housing that came out early in the year and we can talk about that if you want in the Q&A. SmartKey locksets are also doing well. The new Kevo bluetooth lock has been a big hit especially in new channel and it is much higher rate than anything else we sell in this category. They have made very good progress penetrating the multi-family showroom and hospitality channels and they continue to expand international. So we expect HHI to increase its rate of cost reductions as this news of our business moves towards our divisional annual cost reduction goal of 3% to 5% of costs of goods sold, along with they are move into more shared services and a resulting saving that come from that. We are also quite excited about the uptick we have seen even in this quarter and takeaway in this business. And store traffic is returning to the home centers where we sell most of our products. So with that I am pleased to announce -- not announce, we have already announced, to introduce Andreas Rouve, our President, International and our new Chief Operating Officer. He is going to give you some brief remarks about our performance and outlook in the international region. Andreas? 
Andreas Rouve : Thank you, Dave, and good morning. It is a pleasure to participate in the quarterly earnings conference call. If we move to Slide 16. We are very pleased with our international performance in the second quarter and also in the first half. We are also very optimistic about the opportunities to drive further sales growth and even more efficiently leveraging our global product portfolio and international sales organization. These remarks contain some references to international growth. Indeed, our international sales net of currency grew 5.4% in the second quarter. Currency had only a modest impact as a stronger EURO and British Pound offset weaknesses in other currencies especially in Latin America. Europe continues to grow, as it did in fiscal 2013 and also in Latin America constant currency sales growth was nearly 5%. Growth in both regions was broad-based and spread across all product categories. Similarly, international sales in the first half grew nearly 4%, net of currency, driven by virtually all categories and regions. Our international expansion is driven by the Spectrum Value Model which truly is a globally effective go-to-market strategy. Our focus has been on a continuous launch of new products and of products with improve benefits and in parallel we continue to provide compelling offers for consumers and our retail partners which help gain additional listings. In addition, we are systematically strengthening our sales organization. Spectrum Brand has currently present in many countries outside North America but previously this had been often linked to only one or two product categories. By launching more of our global products and the addition of HHI's categories we are broadening our footprint and expanding into more countries and at the same time we are pushing for more cross-listings. This approach has been supported by our focus on shared back-office services and is working well. On one side we are strengthens our relationship with existing retailer as we become a more important supplier, on the other side we are controlling the expenses of our sales entities and spreading them over more categories which is making us more competitive. Thank you. And now to Tony for the financial comment. 
Tony Genito : Well, thank you, Andreas. Good morning, everybody. I want to turn to Slide 18, and I would like to first comment on our gross profit and margins in the second quarter. Our gross profit and margin was $360 million and 35.2% compared to $323 million and 32.7% a year ago. Which include a $26 million increase in cost of goods sold from the sale of the inventory that was revalued in connection with the HHI acquisition? Excluding the revaluation, gross profit margins were unchanged. Second quarter SG&A expenses were flat and operating expenses declined 10% versus last year primarily due to lower acquisition and integration related charges. Second quarter interest expense of $47 million decreased $13 million from $60 million last year primarily as a result of savings from the refinancing of our 9.5% notes last September. 2014 full year interest expense is expected to be in the range of $195 million to $200 million which includes $104 million in the first half of which $11 million was one-time items related to our term loan refinancing in the first quarter. Regarding depreciation and amortization, we expect full year 2014 D&A to approximately $190 million to $200 million, which includes $95 million in the first six months. Our second quarter effective tax rate was 24% compared to an unusual negative tax expense of 246% last year primarily due to positive earnings in this year's second quarter versus a small loss in 2013. Our 2014 effective tax rate is still expected to be 25% to 30%. I would like to highlight a few more key items in our financial statements. Our cash payments for restructuring, acquisition and integration charges for the second quarter of 2014 were $19 million versus $20 million in 2013. Cash interest for the second quarter of 2014 was $27 million compared to $18 million in 2013. This $9 million increase was primarily due to the timing of our term debt payments compared to payments for our 9.5% notes that were refinanced last September. Cash interest payments for the full year fiscal 2014 are expected to approximately $170 million to $175 million. Now if you turn to the last slide, Slide 19, cash taxes for the second quarter of 2014 were $19 million compared to compared to $6 million in 2013. The increase of $13 million was due to the timing of payments, primarily in Germany, and the impact of several audits. Based on the level of NOLs we expected to be utilized, we do not anticipate being U.S. federal tax payment for at least to next 5 to 10 years. However, we will continue to incur foreign and very small amount of pay cash taxes. Cash taxes are now expected to be $75 million to $85 million for fiscal 2014 due in part to overall higher international profits. Our 2014 cash taxes are higher than in 2013 mainly due to the timing of payments, again primarily in Germany and the anticipated conclusion of several income tax audits in certain jurisdictions from the 2007 to 2010 period. And going forward, we expect our normal annual run-rate for cash taxes to be in the range $55 million to $60 million. We ended the fiscal second quarter with a solid liquidity position with $124 million available on our $400 million ABL working capital facility, and with a cash balance of about $93 million. As of the end of the quarter total debt at par was $3,438 million. Regarding our cash flow projections, given the strong cash flow potential of our businesses, our goal is to generate at least $350 million of free cash flow or approaching $7 per share in fiscal 2014. And we continue to see a pathway to $400 million of free cash flow, or nearly $8 per share, in fiscal 2015 and that before factoring in any growth in the business. We expect capital expenditure to approximately $70 million to $75 million in fiscal 2014, including expenditures for the integration the Tong Lung business versus $82 million in 2013. Our normal long term run rate is expected to approximately $65 million to $70 million which we believe will be sufficient to fund on going new product introductions, product enhancements, cost improvement programs, and maintenance of equipment. And with that now I would like to turn it back to Dave Prichard so we can open up our Q&A. 
David Prichard : Okay, thanks very much, Dave, Andreas and Tony. Kanise, you may now begin the Q&A session, please. 
Operator: (Operator Instructions). Your first question comes from Bill Smith with Deutsche Bank. Your line is open. 
Bill Smith - Deutsche Bank: Tony, congratulation on the retirement, you are a good man, you did a great job. 
Tony Genito : Well, thank you, Will. I appreciate it. 
Bill Smith - Deutsche Bank: My pleasure. Can you guys talk about the battery situation or the mark and obviously it was a good quarter way by people's estimate and then clearly maybe not overtly for sale but it is pretty clear that your two big brand and premium competitors are in different states of flux so what do you guys think that means for the category and kind of what your interest level would be in those two assets? 
Dave Lumley : I guess that you want me to answer that. This is Dave Lumley. First of all, we are really pleased with our battery business performance. One of the things that I have explained to all you guys and I know you understand is as you gain share in a competitive battery business and you sell through a lower prices, your sales going to always catch up at first so you can convert all that. We have been converting and we have been doing quite well in most of the channels, we talk a lot about the home center channel and also some key big battery sellers. So we gain that share and we have been through the two year term so there are products selling through so I think same performance is working and resonating. And we tend to sell to our space or better. So I think that's encouraging and that's happening around the world. We have had some new introduction to the on-the-go power for cell phones and that's been doing quite well. In regards to you other point, I think we need to learn more about the announced new structural strategy of one of our competitors and also we heard a lot about the largest competitor comments about that. I could say right now, Will, our view is that one or both of those, if they go that way would represent a good opportunity in the market place for Rayovac and VARTA as the competitors are playing field would be different than it is now. In regards to anything beyond that, time will tell. Let's first we like to concentrate on what we are doing. And we will see what goes on there. But like I said I am most excited about what could be in the market place for us. 
Bill Smith - Deutsche Bank: Dave, it is fair answer, thank you. Do you think those businesses are self funding by themselves? Do you think the other businesses and portfolio help support the battery business? 
Dave Lumley : Well, I never with the either company but my sense is that when you have this breadth and strength that those two battery companies have to do their own right now that gives them more options than it is faired well. 
Bill Smith - Deutsche Bank: Okay, great and then follow up item, how inside invitation you kind of (multiple speakers)
Dave Lumley : The invitation given in the prepared comments. 
Bill Smith - Deutsche Bank: So why are you guys thinking that your housing start it is going to blow the more formal forecast? 
Dave Lumley : We plan for that, our HHI team has done an excellent job looking forward as you might remember new housing start only that present about 25% of their business with a 6 to 9 months lag but that team did an excellent job, they took the housing forecast only did the plan. And they basically cut it and that's about where it is. So I think they positioned themselves very well for that plus as new products. So we never were jubilant as others were about it. We also what I think you would find Bill that we are more excited about is what's really happening is what I call right throughput, right or upgrading and that's why really do and welcome, coming and -- they done a terrific job on to their lockset so you are right, we never expected to be as rosy as if not but it is still better than it has been. I think that our business is prepared for that we geared up to really take advantage of fix your shaft, fix your adopter,, upgrade your key rollout, our SmartKey where you can re-key the lock and tended to second versus our competitors that you stop to go to store for half an hour or re-key, those are the things that are driving it, so I think you guys should all feel quite well, we planned for this and they are operating well. So we are very pleased with the way they are going. 
Operator: Your next question comes from (inaudible) Capital. Your line is open. Unidentified Analyst Good morning. Could you give us an update on the synergy plans for HHI beyond the first $10 million and when does that business go on your SAP system? 
Dave Lumley : Sure. That is a terrific question. They had several their own systems, sales plus the -- like breakaway from standard bike and baker and the TSA so we have a very robust SAP plan that will take a couple of years. It is very complicated as you know that SAP with manufacturing a lot, we have begin that. So we are working on that. And Honey it is a good question. We do believe, I don't want to give a number out now but I would say that the opportunity for savings through SAP is continue share services is much bigger than we thought when we posted the $10 million plan. So we will talk more about that in a future. It is something that we excited about. Unidentified Analyst And then I guess on the international expansion, are your shared services and system built up on us -- I know Andreas alluded to this but how do you see the international growth moving from this point done, if you got your structure in place but you are building out your sales force, could you give us some examples of which countries are getting which product line, help us understand where you are and where are you going? 
Dave Lumley : Sure. And it is really quite excited and I think you know better courses have been doing that for a quite while than Andreas. Andreas you want to jump in and talk about some success and where you are going. 
Andreas Rouve : Yes, thank you. Yes, I think the idea is we want to take our strength in the retailer relation and if you look for instances at the UK where we are market leader with Russell Hobbs. We are also very strong with Remington but so far relatively weak with Pet also with bank fees so basically we are taking our retailer relations and we are launching those products. And you have many other examples like that even going to Japan where we have a very strong position with aquatics products or if you go to Brazil where we have a strong position with batteries but weak in other categories. So the idea is really this kind of pushing cross selling and you are 100% correct, we just need to add dedicated sales people and marketing people but basically the entire infrastructure from SMP, supply chain, everything is already there to support the business. 
Dave Lumley : Andreas, why don't you give a couple of examples of what you are doing with HHI in couple of regions with padlocks and others? 
Andreas Rouve : Yes, basically the HHI international expansion is let me say in Latin America probably a little bit easy because their technologies are more similar to North America, so there again we have a very strong presence, we are present in Latin America in 13 countries with our own sales organization, so we are basically pushing now the entire range of HHI products not only the locks but also plumbing, hardware into those markets. And the similar way we are going for instance in Asia where HHI is actually stronger in batteries and appliances and there we are using now for instance the HHI infrastructure to launch also now batteries and appliances in that part of the world. 
Dave Lumley : And Kana [ph] we can talk to you more off line, we will talk to you about a lot of other success in Asia Pacific with HHI and now we are doing --we put together -- they actually lead in there, in Canada, HHI selling our batteries. But I think what you are going to see here is an infrastructure that an HHI embrace each other, where HHI is much more important than our international network and it was with its previous owner, who have a lot more sales and lot more priorities. So I think you should feel good about where they could go in future and we are doing it right now. Unidentified Analyst And can I just ask one more question. On HHI's sales, it sounded like you did some good planning for it but did the sales come in-- where did sales come in versus your internal expectations and what’s your outlook for full year HHI sale? 
Dave Lumley : Yes, if you look at how they have done in the first six months, they are slightly ahead with our expectations works so that's good news. 
Tony Genito : Yes, we had a very strong first quarter. And -- the second quarter the first sign leads to the quarter where it negatively affect the weather, now the good news is we saw March month with a significant increase, in fact from a standpoint within from mark-to-mark kind of report months, the March of month was record month for the HHI business from sales aspect ever in their history. So we see that momentum regaining but for the second quarter the sales in the course with HHI were slightly below our expectations only really driven by the nine weeks of bad weather that occurred. 
Dave Lumley : But to answer your question as we have been saying all year, we see HHI's sales on yearly basis going into a high single digit, very low double digit which would be about what we -- when I said about the conservative estimate is what I really did and that's going to be pretty good. 
Tony Genito : And we said all along that an on going basis, long term we see this business been a slightly faster than the -- what you refer to back in the past as legacy spectrum, when we see it is 1% to 3%, when we see the HHI business probably slightly higher at about 4% or 4% to 6% in that neighborhood. 
Operator: Your next question comes from Michael Dahl with Credit Suisse. Your line is open. 
Michael Dahl - Credit Suisse: Thanks. Actually a quick follow on to that comment. This 4% to 6% longer term expectations I guess just given a lot of the moving parts as far as new products expansion and eventually some headwinds from housing again, should we think of the next two to three years that you can do higher than that or just some thoughts on where if we should be in that 4% to 6%, 2015 and 2016 also? 
Dave Lumley : We tend demand these businesses from a conservative sales stand point so that we can take advantage and leverage the upside. This year we are in a high single digit so double digit. Our conservative outlook is 4% to 6% -- our optimistic outlook is high single digits. I think a lot of this is going too depended on whether interest -- where interest rate go right. Where employment go, but it appears as I see speak to our best and top customers at HHI that there is a big demand to retrofit, there is a big demand to upgrade and buy taggages, and HHI is in position of commanding share there so I think that if you are conservative you do you would say if you are optimistic you do with the other range. So you are somewhere in there. Now we have yet to see whether the Kido leads to even more stock sales or Smartkey which I believe it will. And HHI has some very significant plan to other parts of their business international, mass, Tong Lung, with a really great project and cost reductions is going to lead them, promote more. So I would say in that middle to high single digit is our goal.
Michael Dahl - Credit Suisse: Got it, thanks and then still on HHI, with the March performance, what's your sense of, how much was inventory restocking or just where we stand from an inventory perspective at retailer? Thanks. 
Dave Lumley : Well, you know the retailers January to end inventory and then you add on the top POS and traffic basically lot of people will put hold and door open its region outside. I mean I understand there is another way thinks about it but that's kind of what happened, so what they are seeing now is that the retailers are adjusted then in January. And now they are seeing a product in March and April and they are back they are kind of bullish on where they are going to go because remember traffic in the home centers is very high. We have seen the same in our home and garden business, we have seen in our battery business and even the large, large retailers are that we are doing our business with see traffic coming back and the pent- up demand. I think one of the things that you remember in our business is we are in a replacement business. And some of them are seasonal. So they are going to buy that, it is just a matter did they buy in February, March or April, or April, May, June. We spend a lot of time in home and garden and a lot of way HHI is true here, oh my god, let's have in this month, let's have in next month. If you look at the 5 and 10 year record there is still below over the year, right. So we are talking about timing I think right now.
Operator: Your next question comes from Ian Zaffino with Oppenheimer. Your line is open. 0:43:12.7.
Ian Zaffino - Oppenheimer & Co. : Hi, Dave, thank you very much, excellent great quarter. How are doing there? Just slightly big channel of -- more to Europe, I know you kind of highlight that as a strong market for you. Was that a function of the overall market sort of improving over this past quarter or was it really a function of -- you are actually so pushing on that market deeper. Thanks. 
Dave Lumley : It is a good question. Andreas, who is sitting nearly right now so why don't you jump in Andreas. 
Andreas Rouve : Yes. Actually I would say the markets are actually improving but it is also very mix category by category, where as prime system market growing that we have to accept the market is still down. So our growth is mostly driven by distribution gains and also launching new products which are helping us to get new lifting and partly also at a higher price point. So it is really more what I mentioned earlier - speak from value model which we are executing very systematically in all markets which is helping us to grow. And also in Europe, please let's not forget I mentioned earlier EURO and Pound was strong but especially in Eastern Europe we were also affected by lot of negative currency impact. Turkish lira, Russian Ruble and so on. And we are nicely overcoming that. 
Ian Zaffino - Oppenheimer & Co. : So as you look at the appliance businesses as you push deeper to Europe, what's the margin differential in the markets that you are penetrating versus say your U.S. market? It is higher margin I imagine but how much? 
Dave Lumley: I'll jump on that. You answered your question. U.S. appliance market is significantly lower margin with much higher volume and it has been affected much more dramatically by the online sale. The European market and Andreas switch off if you want but usually more featured products, more benefits at higher price and that kind of work better over there. Andreas, if you want to add anything to that? 
Andreas Rouve: Yes. I think if you look at cross profit margin then exactly as Dave mentioned we do generate higher margin. But it is also set to a point out that of course with the complexity of the markets with the different trade structure and so on also our SG&A expenses in Europe are higher. So that if you look at the EBITDA margin then we are firmly in a similar range as North America. 
Ian Zaffino - Oppenheimer & Co. : Right, with the incremental margin that was higher in Europe. Another question the -- just -- you talked about weather but you really haven't sort of defined what the impact was and I know it is difficult to think to get to but if you could just give us status what you think, trying might have been hurt by weather.
Dave Lumley : Well, this is just opinion because we have so many different businesses in a different retails to different strategy. But I would say in general it is hurt HHI and it hurt businesses in North America in a low single digit if you ask. It just did as people ready to spot us, but again we are seeing that quickly turnaround once they get back into the store. So I think if you look at your models, if you were to look at POS, it did impact the quarter for all companies including the retailers especially for two industry three months in a low single digit. Now there is recovery and you'll probably see disproportionate sale through now in May and June which is but normal happening. Again, we are not in the ice-cream business. If you don't sell the cone in the hot weather it is gone. For the most part retailer going to come up, pets going to get hungry, pets still get hungry, doors have to be fixed, toast is burn up so I think that we are going to see a pretty good quarter now compared to last year. 
Operator: Your next question comes from Bob Labick with CJS Securities. Your line is open. 
Robert Labick - CJS Securities, Inc.: Good morning. I want to also congratulate Andreas on his new position and then Tony on his announcement and all the contribution he has made for Spectrum.
Tony Genito : Thank you, Bob. I appreciate that. 
Robert Labick - CJS Securities, Inc.:  Absolutely. So I guess for Dave. Knowing that you won't find anyone obviously as smart person or as handsome Tony, what are you looking for in his successor? 
Dave Lumley : Well, we have an active succession program. We have an active search out; we are looking internally and externally. But I think we are looking for man with same attributes that you just talked about with Tony. Someone who understands our model, someone who has got great integrity and understand our business and dealing with all of you. I think also someone with strong accounting background, someone who has been in the public market place. Tony is directly and significantly involved in recruiting of the new CFO. I don't think that he still have serious answer, Tony (Multiple Speakers) Yes, I don't think they have to deal and wait less as much as Tony, that's made the search easier. But with Tony is business as usual. He is completely committed at least through the end of the year, we will not make a change and so we are all completely satisfied with his, have my word on that, Tony, Andreas Rouve will be very involved, our principal shareholders has been significantly supportive in this and doing everything they can to help us and our Board is saying obviously we would like it Tony would not to leave but those of who you around the number he was hardly get here and where few years past promise but nevertheless in summary someone who has the public company background, someone who understands how to work with all of you but global and scope someone who wants to be in that or not meddle with conference, who can embrace our model and has the respect in the culture where we are and of course why are we public company or control company so someone who can work in that environment as well. So it is a challenge, no doubt but a terrific opportunity.
Robert Labick - CJS Securities, Inc.: No question. 
Dave Lumley: We are $4.5 billion profitable company now when Tony and normally it is our industry, we had some other challenges, and we will inherent as far as we are but again we have a very strong supportive Board, very strong supportive controlling shareholders and we are involved in it. 
Tony Genito : And this is Tony. I would appreciate the comments but I would say that the most important thing that Dave has said is that it is business as usual for -- I am here at least through the end of the year I am going to be in and assisting with the recruiting, the transition, finding and signing and 10-K this year, we've got eight months, we have got -- make the remainder of the year, we've got great momentum from the first half as you guys can see. And we are very excited about the remaining year but that's our focus is to get it done as we say.
Robert Labick - CJS Securities, Inc.: Great, thank you for that color. That was excellent. Jumping over to the new product pipeline and the launches you discuss. Can you give us just a little bit of color overall on the expected P&L benefit? Is it accelerating sales? Is it higher margin? How is that act come about? And then just part two that, do you have enough of a pipeline to sustain this innovation in the years to come? What's the product cycle going forward? 
Dave Lumley : Yes, well, you want a global statement or you want in certain division of business. 
Robert Labick - CJS Securities, Inc.: As details as you are willing to be? 
Dave Lumley : Well, business is today have vitality rate, you like to try to come out with 15% or 35% a year of new products or new versions of products, or improve products and new products provide cost improve opportunities, pricing opportunities and I get retailers and consumers excited specially who are with us today where consumers they go into a store, week two and nothing new there, they are disappointed as the internet provide something new everyday, every hour. So depending on the business we are in, we aim for that 15% to 35%. Now within that our success rate has been hot in most cases we are the number two brand for business so we have room to go right, we have opportunities to grow as geographically. Physically if you were to study over the last five years, our EBITDA percentage as a company our gross margin rate, you will see it steadily improving and that's combination of cost improvement and new products. So that would give you a good track record and what to expect probably in the next five years. We do not manage program that are home run, we do not enter joint fat businesses and hope that this going to take us to the top because they typically go down just to start. So that will be a good grammar for you. Now look at our businesses, if you were to look at most of our businesses are 18% EBITDA businesses or higher. And they steady improve and appliances have been the most dramatic improvement. If you were to go back, way back, we have done in middle single digit as a company. And now they are in the double digits. And that's good grammar what you can do with this new global new products. So I think that a company that can improve its overall gross margin percentage one, two, three, hundred basis points so he is doing quite well on today's world because there is not lot of pricing. And it is nice when you see how these people announcing prices. But most pricing announces they get a quarter over a third of it and they are all dance pretty good. So really happens that new products so to your point if you study our five years and look forward and I think you could see more of us as it would go. Is that helped you?
Robert Labick - CJS Securities, Inc.:  Yes, very much, sir. Thank you. 
Operator: Your next question comes from Kevin Grundy with Jefferies. Your line is open. 
Kevin Grundy - Jefferies LLC: Nice starting. Good morning, guys. So first Dave can we start on the pet business and understanding that the weather has been difficult over the past couple of quarters but even looking back to the back half of last year, I don't think growth for that business has been quite what you hoped it would be. Can you give us kind of stated union with that business, how much is drag from aquatics macros etcetera and what gives you confidence here in the back half of the year, things are going to get better. 
Dave Lumley : Sure, good question. And you are right, so the back half of last year come in also a really, really poor time season, aquatics started with decline over the year ago, aquatics is driven on a few things. First and foremost how many fish are being sold in tanks in store? And less stores over the last year have done that. In fact they have gone the other way. We cover that by investing in low cost tank, we won of this we got start. And it started to improve it but still store traffic is down and there is less fish in the store as it was tanks. That starts people in the pet section, really affects the cost, okay. Plus over the last year we learned a lot of people view that more discretionary than replacement all right. And in our case we were little late on key products in aquatics all right. That it is our fault. But we wanted to get it right. A lot of these products have to be approved in the fiscal area by numerous governments and they have to be valid and we have to get those right. Why we feel good on the back half? We have done that. We have new tanks, the new fish, and very exciting products like time release. We have very unique stuff inside the tank that's coming right. Our glow fish is growing now; we have all the appropriate things in aquatics. But aquatic also involves reptile and that is something that is growing and we are entering that. But the good news is we secured all these for the second half. These are hope, so we know it is going to go up. We have also, since we provide a lot of fish tanks and make them commercially, we secured new listing and not as only two or three people that drive that North America, two or three people who drive that in Europe and we have those orders. And we are making it. So they are in the aquatics, only 12% of people are in aquatics, I might know who are in cats and dogs,
Kevin Grundy - Jefferies LLC,:  It is too obvious 
Dave Lumley : It is too obvious, so as we drive that, we also, it is the long answer, are reengaging with the small pet owners who have fish tank and we are going out of our way to invest with them and make it easier for them to not only bring fish in, in our type of tanks but to do more business because if they are that they drive the interest. I think about bike shop or boat beer and all that. So finally we feel lot better about that. Now make no mistakes about it, aquatics a tough business right now. It has been a long time since the -- right. And Nemo, And finding Nemo, Jeez, we need to find Nemo, we have been begging this Nemo to, but I think that from the mainland if we look at our share gains and our cost improvement we can feel better about our product long term. Now, if we are excited as companion and which we have great growth but the margins are less, it is more competitive, a lot more people. A lot of things happen in that area. There is, again we secured major listing in Ohio, Chicken Jerky, Natural's Miracle, we are with the category experts in there, the two big pet retailers. We secured that business. So short of major store traffic or appeal us downturn of major proportion, it is going to go up in the back half. Finally, our acquisition of -- which has done tremendous, we again were late and getting out the right new products for that and this is feverishly done a boded group of people, if you ever charge terminator brush and stallion brush which is I doubt I will never going to get it up. In fact, I appreciate volume today but there can't be doubt in their company , and they were expanding brand and new categories, so it took a little while to get it right just like, that's how our other businesses but we are there now. And that's why we feel better about it. And you are right, there are high expectations for these businesses and we are committed to doing them. 
Kevin Grundy - Jefferies LLC: And then thanks for that. And then we shift back to batteries which you touched on a little bit before. But the number was very strong obviously in the quarter, I think it kind of probably be what everyone had modeled, was there any shipment benefits with that? I guess sort of feel back the on -- was there any shipment benefit in the quarter which is going to reverse now in the back half? I can't imagine you guys thinking you are going to do 7% kind of growth in the back half of the year so color on the back half would be helpful. And then lastly I know Dave if you are feeling Neilson over obsessed with U.S. scan a data but obviously a huge discrepancy between what are seeing in the track data versus what you guys printed today. So a color there would be helpful.
Dave Lumley : Okay. We are very optimistic about back half. We didn't have any abnormal shipments. Those were POS self through, they are not the new distribution we got last winter; it is deciding to make the changes and those channels I talked about. And at least I get it back, okay, we also have secured major win at a huge retailer that you are going to see later this quarter which will take us up in the back half because Rayovac proved itself, Rayovac has to prove itself over, over, and over again with retailers. And we have been through that cycle now for the last two years. And we are optimistic about the back half. With major competitor, okay, this is in business for us that we make excuses for, we recommend this business, and I think the retailers have grasp that whether we are in private label, branded or inherent business we are more likely to. So we invest in these businesses, we bring out -- we have perhaps at last call, we have really new product launches coming and outcome. So I don't think that you are going to see let up go in the back half. And I think we are going to do pretty good. And we never had given up in the battery business. It is our infrastructure worldwide, it allows to bring all this out, in fact because HHI is so strong in the hardware and home and garden so it helping our batteries. So by first and some of the other markets as they feel padlock, so I am bullish on it that you could be in the business that's quite down. I think you are going to see some rough behavior pretty soon but actually it started already but that's not the same. And so I think that I am consciously optimistic that our battery business was actually growing throughout the year. 
Kevin Grundy - Jefferies LLC,: So mid single digit Dave, not to put words in your mouth, is that sort of reasonable for the back half of the year? 
Dave Lumley: That will be very nice
Tony Genito : On average 
Operator: Okay, your next question comes from Jim Chartier with Monness, Crespi. Your line is open.
Jim Chartier - Monness, Crespi, Hardt & Co., Inc.: My question, hi, so you guys expecting incremental $5 million of taxes this year. Are there any offset in terms of better than -- a major kind of keeping your full cash flow guidance unchanged, anything better than expected to offset that. And then why wouldn't the normalized tax rate go up if the reason for taxes this year is due to better international process. 
Tony Genito : Well, to the first question, I mean with our cash flow obviously a slight increase in cash taxes and there is LIBOR expense, the capital spending, where that is what we originally had in our internal plan versus over actually coming out. We are still making all the investments that we need to make and our working capital assumption and of course our EBITDA growth. So there is a lot of leverage there, Jim, but that's -- the slight increase in cash back it has no impact on our cash flow guidance for the year. Your second question, could you just repeat that again, Jim, I am sorry. 
Jim Chartier - Monness, Crespi, Hardt & Co., Inc.: It sounds like you are kind of reiterating your longer term cash tax $55 million to $60 million. 
Tony Genito: Right, I know you said what the impact that is on why that did not impact our effective tax rate for this year. 
Jim Chartier - Monness, Crespi, Hardt & Co., Inc.: No, I am curious the reasons that tax are higher this year because international profits are higher. Why would that impact? 
Tony Genito: That's a slight increase, the real driver of why the cash taxes are so much higher this year is really the timing of those payments in Germany vis-à-vis we made -- we are making two payments in Germany this year versus year or less one month payment in Germany than we did last year. And that's just the timing issue. And the other issue is that we had some audit adjustments from 2007 to 2010 period, that we are making those payments this year. So that's why the cash taxes this year are going to be I'll say an anomaly and then going forward we believe that they normalize run rate should be $55 million to $60 million as we said earlier. 
Jim Chartier - Monness, Crespi, Hardt & Co., Inc.:  And then you talked about the sequential improvement in POS in March, have you seen that it continue or accelerated into April? 
Dave Lumley : This Dave Lumley. Yes, and most of our businesses specially those in the home center. 
Jim Chartier - Monness, Crespi, Hardt & Co., Inc.:  Okay, great and then international, you talked about bringing more categories into different countries. I guess the question why are you doing now? Did you not have the infrastructure system in the past? And then longer term, should international grow faster than North America? 
Dave Lumley: This is Dave Lumley. International has been growing faster than North America for us for quite some time because it is entering new market especially Eastern Europe. We bring out products internationally on to the platform when we have better output strategy, we have the right products ready to go, and we do not want to overwhelm the system, so if you went back and say this we are very confident. We brought Remington out. And then over time we brought pets and then Russell Hobbs, that's behind us. But we hadn't taken pet like the Latin America yet because we weren't-- we didn't feel big enough opportunity for that, we see that now. Then as Tony said lots of -- now we have the HHI. So you guys picked the right product with the right support at the right time. So this kind of sequential that will --
Tony Genito : A great example of that Jim would be Russell Hobbs. When we launched those products which were not in, virtually in Western Europe when we acquired the businesses, two countries that they are in, they didn't have the big footprint, but we launched into Western European and then into Eastern Europe, I mean a classic example would be we did not go to each country and take a complete stable products and just throw them into the country and say good luck. We looked at each individual country, what were the key products, what really moves the needle so if you can focus, we have already 20 roll, if you are going to have 20% of the products generate 80% of the sales and profit, let's focus on that, that's exactly what we have been doing, as they said, that's just we do it in a very strategic way and we want to make sure we do it right and that's basically we have been doing this, that over time though and it continuous to be success for us. 
David Prichard : I think we have one question left Kanise, still in the queue. 
Operator: And your last question comes from (inaudible) with Deutsche Bank. Your line is open. Unidentified Analyst  You guys are taking down memory lane; there were all the acquisitions over the year. 
Dave Lumley : Quite correct, you were there with us. 
Unidentified Analyst : So the retail distribution gains that you guys are talking about, do you feel that that's coming at the expense of private label or are you taking this away from some of your branded competitors in and against that's across your categories not just batteries. Where are you -- who are you replacing there? 
Dave Lumley : Two things. It is Dave Lumley. One is the combination, okay. And two is when we look at just Nielson data which is really a few drug driven data, it of course skews to those who spend a lot of time in using drug, most of our strength -- okay let me-- if you were to look at the top 10 battery sellers in America, food and drug added together is in the bottom half, okay. The big one is we should expect, I wonder that is Nielson but the other four or five are not. So that's why you see that skew. So I would say it is a combination of branded business and private label. You can simply look at the results of one of our competitors and see what's going on there; the other one doesn't report anything, okay. So you can extrapolate that but clearly the other two strengths are more in food and drug and mass and they are in the other but those are good companies, they are good brands. So again they are going through announced changes and what their companies are emphasizing. In our case we are committed to the battery business and investing in long term so I think that's why it is so hard to look at these things differently. We've probably stated that we believe our market share and you added all together is 17% to 18% of our client, that's higher in the general category. Everyone focuses on our client which is important as well 55% of sales but the other thing actually expense -- better so we sell all those and those guys are sold industrial channels and they are sold in lot of other places. The other thing that we are seeing is that there are numerous opportunities to sell battery to other devices or newer devices specially cell phones and cameras because when you are on construction site you can't throughout the end of your car off that, okay it got so much part, when you are at a concert, when you are a college kid, you got to have power and they will do anything for it. So I think that's a big area of opportunity for us. So that answers your question 
Unidentified Analyst : Yes, it is. When you guys talk about the pathway to $400 million of free cash flow before any growth of the business and suddenly implying another $50 million of cost savings, you can realize within the year, are there any kind of big buckets or kind of one off easy steps are there or is this kind of continual improvement, we will get a little bit incrementally over the time period. 
Tony Genito : Basically it right from $350 million to $400 million of cash flow -- before factoring in growth of business sure and basically we are going to be paying down debt this year so you are going to get interest saving would be one bucket. Lower taxes as I just talked about in the previous question from Jim, we are going to be more normalized this is better anomaly this year so we have some significant savings there. And lower A&I cash distribution again, now we have implemented initiatives, those initiatives have been announced, implemented and what we are seeing is the window or wind down of the cash tail of those charges. So when you factor just those three items in you basically come to about $50 million which again not saying we are not going to grow but so many mentioning one which is why we do say you are not their growth, no, I am saying before we even factor in growth our $350 million of cash flow that was generated this year and is apples-to-apples $400 million and then we grow from there. 
Unidentified Analyst: All right, sounds good, look forward to seeing you guys, take care. 
David Prichard : With that I think we have concluded our call for today. I certainly want to thank Dave, Andreas from Italy and Tony this morning and behalf of Spectrum Brand, all of us here we want to thank all of you for participating in our fiscal 2014 second quarter and first half earnings call. And have a good day. Thanks again. 